Operator: Hello, and welcome to Criteo SA First Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] This conference is being recorded. I would now like to turn the conference over to Edouard Lassalle, Head of Investor Relations. Mr. Lassalle, please go ahead.
Edouard Lassalle: Thank you, Keith. Good morning, everyone, and welcome to Criteo’s first quarter 2016 earnings call. With me today are our CEO Eric Eichmann; and CFO Benoit Fouilland. During the course of this call, management will make forward-looking statements. These may include projected financial results or operating metrics, business strategies, anticipated future products and services, anticipated investment and expansion plans, anticipated market demand or opportunities and other forward-looking statements. These statements are subject to various risks, uncertainties and assumptions. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements. We do not undertake any obligation to update any forward-looking statements contained herein, except as required by law. In addition, reported results should not be considered as an indication of future performance. Also we will discuss non-GAAP measures of our performance. Definition of these metrics and the reconciliations to the most directly comparable GAAP financial measures are provided in the earnings press release issued earlier today. Last, unless otherwise stated, all growth comparisons made in the course of this call are against the same period in the prior year. With this, I will now turn the call over to our Chief Executive Officer, Eric Eichmann.
Eric Eichmann: Great. Thank you, Edouard; and good morning, everyone. I am happy to report another strong quarter of profitable growth for Q1 2016, my quarter as CEO. Before I go into the quarterly results, let me take a few moments to explain Criteo’s vision in a fast-changing advertising landscape. We believe that data-driven people-centric marketing that is held accountable to performance metrics is the way all advertising will be done in the future. The era of not knowing which half of a marketer’s advertising spend is working will be a thing of the past. Three big trends are helping accelerate this transition. Number one, the continued digitization of offline activities, making offline intend data available and offline sales trackable; two, the increase in one-to-one marketing scale based on accountable metrics; and three, marketer’s demands for optimization and coordination of marketing activities across channels and devices. We are well-positioned to help marketers make this transition and finally make all advertising work. Through our products consumers experience more relevant adds across channels and devices. Clients get unmatched performance. And with continued investment in core technology, mobile and cross-device, we are driving higher value for clients every quarter. Turning now to Q1, our performance exceeded the guidance for the 10th consecutive quarter. We grew revenue ex-TAC 41% at constant currency to $162 million and adjusted EBITDA 56% at constant currency to $49 million. We performed well across all aspects of our business. We rolled out technology innovations across devices and platforms. We added our second highest quarterly number of clients across regions. And we saw continued momentum in expanding publisher relationship. Technology innovations drive more client sales. Q1 2015 clients generated 21% more revenue ex-TAC at constant currency in Q1 2016, consistent with prior quarter. A key contributor to this growth is the fact that more than 75% of our business comes from uncapped budget. Three elements here are worth mentioning. One, Mobile Commerce is playing a major role in driving more sales, and now represents 38% of our client total e-commerce transactions. For us mobile generates over 50% of revenue ex-TAC, as virtually all clients are using our complete multi-screen solution. This positions us well to take advantage of the huge growth in Mobile Commerce. Within mobile In-Application or In-App commerce continues to grow and enjoy strong momentum. Advertisers who make their app a priority drive conversion rates close to 2X of those on desktop. Our In-App business is accelerating fast, growing more than 450% year-over-year and now represents a meaningful driver of mobile growth. Two, consumer spend is increasingly fragmented across devices and cross device commerce now represents over 40% of all e-commerce. Client’s adoption of our Universal Match strong about 60% of clients are sharing anonymized CRM data, helping us to build a large scale device graph. This graph coupled with our scale allows us to understand each shopper’s journey across channels and devices to drive the highest performing and most relevant ads. Matched users are particularly valuable, we generated 40% of revenue ex-TAC from such matched users, a significant increase from 25% in the prior quarter. Three, creating compelling ads is also an important element in driving sales. We now have completed the rollout of our first generation dynamic creative optimization platform to close to a 100% of clients. These improved performance to more engaging ads. We are excited about additional uplift opportunities as the next generation of this creative platform is being developed and deployed over the next few quarters. We just completed the transition to HTML5 and as such a no longer running any dynamic ads in flash. This is a key advantage when working with browsers and devices that only support HTML5. Moving to client additions, we added over 760 net new clients, ending the quarter with 11,000 clients, while maintaining client retention at 90%. As in prior quarters, we signed both large and mid-market clients across all regions, with current global penetration still below 15% of addressable clients, we believe mid-market is a huge opportunity. We are making good progress enrolling out automation tools to accelerate to launch our campaigns. For example, the automation tagging model went live in Q1 and already half of new mid-market clients used this tool. Revenue ex-TAC from mid-market clients continue to grow over 80% in Q1, and now represents over 25% of our business. Average revenue ex-TAC per mid-market client continues to grow a significant achievement as we continue to add many clients. This is another proof point of the scalability of the mid-market model. Turning now to publisher relationships, we added a record 2,300 publishers in the quarter, largely coming from our publisher marketplace, bringing us to over 16,000 publisher relationships. Our publisher reach is leading in the industry providing a strong advantage. On Facebook, we’ve rolled out dynamic product ads to many new clients in Q1. Today, close to 5,000 advertisers are live on DPA on both mobile and desktop. Performance had significantly improved past few quarters and DPA is now in mainstream product for our clients. Native ads also continued to show very positive traction, now representing over 16% of revenue ex-TAC. Native formats are a major trend for publishers. Thanks to their immersive format, Native ads drive high engagement and performance. They require custom integration and dynamic creative capabilities both Criteo advantages. Our Taboola relationship ramped up fast growing over 50% quarter-over-quarter. We also signed several direct publisher deals in Native. We are making good progress in connecting to app inventory, in particular in Mobile First and app heavy markets like Indonesia and Korea. We’re excited to be live with Kakao, Korea’s star multipurpose portal reaching an impressive number of users. We signed and integrated several new RTB platforms in the quarter, including three in China. Moving now to regional performance, we have consistent execution across all geographies. The Americas group we have ex-TAC 48% at constant currency and remained the main contributor to the year over year growth of the business. We saw solid growth from large existing clients and signed several large clients in retail and travel in the U.S., which we expect to ramp up nicely over the next few quarters. Mid market continued strong momentum across the Americas growing close to 100% year-over-year. We are pleased with higher than expected growth in EMEA of 30% at constant currency. This was partially driven by strong performance with our clients. Our established markets continue to grow fast. All our growth leverage performed well. Large and mid-market clients as well as new and existing clients. In APAC, revenue ex-TAC increased 52% at constant currency, new business was strong in Japan and South-East Asia, an area that continues to show triple digit growth. Our Chinese export business accelerated contributing to growth outside of APAC. We hired an executive with strong industry experience as managing director for India, as we launch operations in that critical market. Looking to the remainder of 2016, we remain focused on four clear priorities. First innovate on our core product with our universal match solution, we are building a large scale user graph and the infrastructure to leverage it within the whole platform. We believe these user graph is becoming a strategic asset for Criteo. In the coming quarters, cross-device sales information will be made available to clients which we believe will drive them to spend more with us. Second, expanding to great sources of inventory. Social remains a growth opportunity for the coming quarters. In mobile, we expect to increase direct access to app inventory in particular in China and South-East Asia. In native, we are expanding our partnerships with existing platforms and intend to work with additional large partners. Third, strengthen our APAC position. We are investing in South-East Asia to address the massive opportunities we see for mid market and large clients. We are on track to set up our Indian entity in Q2, which will open a promising market for us. And in China, we continue to work on scaling the domestic business. Finally, fourth develop disruptive new products. We are investing in making progress on disruptive new product opportunities. We continue to be very excited research and are making progress in building what we hope will be a disruptive product in the future. In closing, I’m pleased with our strong Q1 performance derived in both high growth and increased profitability. 2016 has started well and I’m confident it will be another successful year for Criteo. We have exciting new products in the pipeline and continue to execute on our growth plans. And as advertising evolves to become people centric and performance based, we believe Criteo is in an ideal position to drive this change in the years to come. With that, let me turn the call over to Benoit, our Chief Financial Officer.
Benoit Fouilland: Thank you Eric. And good morning everyone. I’m equally pleased with our strong performance in Q1. In particular, with our growing profitability. I believe high growth on expanding profitability remained unique features of our business model. I will walk you through our quarterly financial performance, as well as our guidance for Q2 on the full year. Q1 revenue came in at $401 million up 36% or 39% of constant currency. Revenue ex-TAC the key metric we use to monitor our business performance grew 37% or 41% at constant currency to $162 million. This was driven by a LC growth in existing client spend as well as the impact of having a several largest quarterly number of new clients in our history. Revenue ex-TAC margin was 40.5% consistent with prior quarters. We are growing mid market clients very fast and are pleased with this momentum, with a growing share of mid-market, our clients mix continues to evolve. We saw strong dynamics in the average revenue ex-TAC in our live clients across tier 1 on mid-market categories, with high single digit to double-digit year-over-year growth. Compared with the assumption for our Q1 guidance shed in Forex add a negligible positive impact of $0.1 million on reported revenue ex-TAC. However, compared with Q1 2015, Forex represented a headwind of over 300 basis points to reported growth in revenue ex-TAC. Moving to expenses, other cost of revenue comprised of hosting and data costs was $18 million or $10 million on a non-GAAP basis, growing 45%. This remains mainly driven by increased hosting capacity across our data centers. Operating expenses were $116 million or $104 million of a non-GAAP basis, growing 30%. As in prior quarters, headcount related expenses represented 75% of our non-GAAP OpEx. We added over 130 net new employees, closing the quarter with over 1,970 employees or 30% increase compared to March 2015. Looking of the non-GAAP OpEx by function, R&D expenses grew 50% to $23 million, largely driven by the 48% increase in headcount to 440 employees. Sales and operation expenses grew 22% to $59 million, also largely driven by the 23% increase in net count to 1,190 employees. Quota-carrying headcount grew 26% to 540 with over 60% of the growth in mid-market. G&A expenses increased 37% to $22 million, while headcount grew 35% to 340 employees. Adjusted EBITDA grew 54% or 56% at constant currency to $49 million, 60% of the over-performance in adjusted EBITDA or approximately $4.5 million came from our strong revenue ex-TAC, while 40% or approximately $3 million relate to lower than anticipated expenses, primarily in hosting and data, as well as various other operating expenses. Approximately $1 million of such lower expenses represented savings. The remaining expenses are expected to be postponed. Adjusted EBITDA margin for the quarter was 12.2% of revenue or 140 basis points improvement compared with Q1 2015, including approximately 60 basis points resulting from delayed spending. Our growing profitability for Q1 is well in line with expectation for 2016 once adjusted for postponed expenses. Financial income was $1.3 million loss. This was driven by a $1.2 million Forex loss, primarily related to hedging cost for Brazilian intragroup positions. We have taken measures to remove earning volatility on cash hedging cost relating to intragroup position with Brazil. Net income increased 36% to $19 million, as the strong growth in income from operation was partly offset by the quarterly financial loss. The effective tax rate was 30% based on our estimated annual effective tax rate, which includes the recognition of deferred tax assets in the United States. Cash flow from operation was $19 million, significantly impacted by a negative change in the working capital on increased income tax paid. The working capital pattern that we saw in Q1 2015, specifically on the payable side was quite unusual and have since normalized. CapEx was $12 million mainly driven by new data center equipments. These represented 3% of revenue slightly below our initial plan for the quarter due to some delayed several investments. Free cash flow was $7 million negatively impacted by the change in working capital. As working capital patterns normalize this year, we expect to see a positive impact on the cadence of our quarterly free cash flow generation in comparison with last year. Finally, total cash and cash equivalent were $386 million at the end of March, up $33 million compared with December 31, 2015. Before closing, I will walk you - I will talk about our guidance. The following forward-looking statements reflect our expectation as of today, May 4, 2016. We expect Q2, 2016 revenue ex-TAC to be between $158 million and $162 million. At the midpoint of the range, these would imply growth at constant currency of approximately 31%. We do not expect change in forex to materially impact our reportage growth in Q2. And we expect Q2, 2016 adjusted EBITDA to be between $32 million and $36 million. From business seasonality standpoint, Q2 is typically the lowest quarter of the year. In addition, we expect a sequential increase in expenses of approximately $12 million in Q2, due to A, one-time expenses related to Criteo global employee summit; B, the capture in hosting and data cost that did not materialize in Q1; and C, the continued growth in headcount. Product assumption underlying our Q2, 2016 guidance are included in the earning release we published earlier today. For the full year as I have said in our Q4 earning call, we have taken a new approach to guidance. We now provide a gross range at constant currency for revenue ex-TAC and an operating leverage improvement range for adjusted EBITDA margin. These compares to absolute dollar ranges what I did for both metrics previously. We believe our new approach provides a more stable guidance framework, helping investors better access our operating performance against the mid to long-term at outlook of our business. As a result of this approach, we reiterate our financial outlook for fiscal year 2016 as provided on February 10, 2016. We expect revenue ex-TAC for fiscal 2016 to grow between 30% and 34% at constant currency. We anticipate changes in forex to have a negative impact of approximately 100 basis points on our reported growth for the full year. And we expect fiscal 2016 adjusted EBITDA margin as a percentage of revenue to improve between 60 basis points and 100 basis points compared with fiscal 2015. As indicated in our last earnings call, we expect CapEx for fiscal year 2016 to represent approximately 5% of revenues. In closing, I’m pleased with our continued solid performance in the first quarter combining high growth with extending profitability. And I’m excited about our outlook for the full year. With that, I will now turn the call back to the operator to take your questions.
Operator: Yes, thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Heath Terry with Goldman Sachs.
Heath Terry: I was wondering if you could just give us a bit of an update on the trends that you’re seeing in your Facebook relationship, particularly the access to inventory as they rollout some of the new products and the level of demand that you have from some of your advertising partners, specifically for that channel and to the extent that there is any sort of difference in the ROI that you’re achieving in that channel versus across your network?
Eric Eichmann: Okay. Great. Thank you for that question. This is Eric. So as we, I think, described our quarters our relationship with Facebook is very strong. We’re very excited about working closely with Facebook. We’ve been working with them to get access to DPA in a way that takes full advantage of the Criteo engine and we believe that a lot of that work has been accomplished. And as a result of that, we’ve seen significant improvement in performance to that channel. And we are much more now in a deployment mode, though there are still some things that we’re working with Facebook on to improve it. But generally, advertisers, the advertisers we represent are looking for performance. And Facebook is a very good channel for performance, in particular when it comes to mobile, given the presence that Facebook has. I would say, in terms of overall performance of the Facebook channel. It’s comparable to other areas that we’ve seen and what’s most important I think is just to reach and extend that Facebook and have - what’s interesting also about the DPA platform is there is an expectation that that DPA platform will be used for other source of inventory, potentially something like Instagram in the future, and so the access to additional inventory through the platform I think will be - will definitely be attractive.
Heath Terry: Great. Thank you.
Operator: Thank you. And the next question comes from Douglas Anmuth from JPMorgan.
Douglas Anmuth: Great. Thanks. I wanted to ask few things. First, it looks like good EMEA and APAC strength, but Americas was down a little bit more sequentially in 1Q relative to 1Q a year ago. So I think the numbers are like 13%, 14% in 1Q versus about 8% down. So I was just wondering if there is anything that you would call out there in particular. Was it perhaps more of the Facebook relationship kicking in more in the fourth quarter with DPAs or macros or something else you saw intraquarter? And then, just secondly, Eric, you talked about the product innovations. Can you talk more - in more detail about search and when we might be able to expect something there and what that product is going to look like and then also just where you are with in-store and in offline product? Thanks.
Eric Eichmann: Great. Thank you, Doug. Great question, so on the U.S. performance, a couple of things. One is we had a very strong holiday season and so we saw very strong numbers in terms of growth in Q4. And so, when you think about it sequentially and you think about Q4 versus Q1, it probably is not a fair comparison with Q1, given what we saw in Q4. But when we look at the absolute numbers for Q1 we still feel very strongly that we are getting great growth in the Americas with 48%. The U.S. remains the largest driver of it. Having said that, I think when you think about all of the Americas, we obviously have a little bit more softness in Latin America given the macro-conditions there. But overall, we feel very good. There is nothing structural about the Americas that would make us think that there is not significant potential, continued potential for growth.
Benoit Fouilland: So, what I would add, maybe, Eric…
Eric Eichmann: Yes.
Benoit Fouilland: On the Americas, I think there are some pretty strong drivers that have laid in Q1 also in the Americas. We signed top 100 accounts including some pretty large accounts in the retail and in the U.S. And we’ve seen also a very strong growth from mid-market that has been growing close to 100%. So obviously, Q4 was very strong, but we’ve seen some very strong drivers in Q1 as well.
Eric Eichmann: Great. So that’s regarding the Americas, obviously as you said we’re pleased with the growth in EMEA and APAC also. In terms of product innovations as you know, we are still in proof of concept stage, we search, we feel quite good and we have said that, we expect to be able to say something about search in 2016, either positive or negative. But overall the initial sort of concept of bringing performance to search by using people base data or browsing is still there and we still believe that, it has good potential. So more and use to come to up at the year on this. And in-store it’s also a quite early and there we feel that there is increased interest by retailers to have beacons and mechanism to see what activity happens in-store. And I think from our perspective at all these offline activity becomes digitized, there is going to be more and more opportunity for us to influence sales online. But I’d say, there again it’s probably - in earlier stage in search, in terms of the development of opportunities around offline. But there is nothing structural that we think doesn’t sort of or take so away from the opportunities that exist there.
Douglas Anmuth: Great. Thank you.
Operator: Thank you. And the next question comes from Brian Nowak with Morgan Stanley.
Brian Nowak: Thanks for taking my question. I’m wondering the mid-market initiatives, can you just talk about how much of the client growth came from mid-market in the first quarter. What are you now on mix between mid-market and larger clients? And just talk about the average spend for client. How you think about that over the rest of the year, between the two buckets? Thanks.
Benoit Fouilland: So just on the client growth, so roughly 85% of our client growth was coming from mid-market in the quarter. And with respect to contribution to the overall business, now we have to 25% in terms of revenue ex-TAC - just move 25% in terms of revenue ex-TAC in the quarter. And we see some pretty strong dynamics in the mid-market, particularly if you look at the revenue of their live account is continuing to increase fast in the mid-market, which show that in all of the actions that we take to increase productivity are paying off.
Eric Eichmann: I think, a couple of other things on mid-market that maybe worth, while I mentioning one is the growth in the Americas continues to be very strong close to 100% in mid-market. And we are really starting our presence in APAC for mid-market, and that’s a large opportunity that today really is not kicking in that much. The rest of the mid-market in the Americas and Europe is doing quite well for us.
Brian Nowak: Great. Thank you.
Operator: Thank you. And the next question comes from Mark Kelley with Citigroup.
Mark Kelley: Hi, thanks for taking my question. In terms of your full-year guidance, how much India and China is embedded into your outlook. And then, can you talk just a little bit more about the delayed spending, how should we think about that as we progress throughout the rest of the year? Thanks.
Benoit Fouilland: Yes. So just for the guidance, so with respect to India is - actually no contribution into the guidance for the year, I mean, we have just opening the subsidiary now in India. We are very excited about the potential that, obviously, this is going to be just a start for this year. With respect to China, as we’ve always say China is a long-term investment for us, so we’ve been prudent and what we’ve baked into the guidance for the year. What we see good momentum on the export business that is now increasing a great quarter. And we’ve seen a good contribution in the last quarter. So that is part of the guidance, with respect to the domestic business, it’s relatively minimal into our own guidance. Now talking about the delayed expenses, those expenses are relating primarily to opting, so to capacities that we put in data centers as well as there are elements also relating to data to fit our cross-device initiative. We will see those expenses being incurred largely between Q2 and Q3, and the largest portion will grow up really into Q2, which explain partly the reason of the sequential increase that I described between Q2 and Q1.
Mark Kelley: Got it. Thank you.
Operator: Thank you. And our next question comes from Rocco Strauss with Arete Research.
Rocco Strauss: Yes, I have two questions, if I may. First one on your publisher relationships, I mean, there is recently very, there are many discussion around header bidding that with the loss of the waterfall structure to sell inventory about publishers, curtails publisher relationships, could be worse less with many publishers implementing header bidding. Can you help us understand how that actually influencing your inventory buying overall, as well as the impact that may have on the 40% take-rate over time? And maybe also, if it’s actually less an issue with moving more into inept buying where header bidding obviously isn’t a concern yet? And I would have one follow-up on that.
Eric Eichmann: Okay. Thank you for that question, Rocco, great question and quite technical. So, look, if you look over time there have many, many technologies and we actually had three or four technologies to access inventory with publishers and the ultimate objective that we have is obviously have access to the inventory with the right information and the right dynamics in terms of bidding information in the right of dynamics in terms of bidding. I think header bidding is a new technology. And it still allows us obviously to have access to inventory, competes with some of our technologies. That has not have had any particular impact for us. If you look at the metrics that we’ve talked about for the quarter, we added 2,300 publishers. We maintain a very strong relationship with publishers. We bring value proposition to publishers that relates to obviously at the end sort of bringing more money and would bring demand that otherwise wouldn’t be there for those publishers. So all of those things remain the same, and if you think about publishers using third-parties, for us to access inventory there is always the margin, the pressure that comes from it, because the third parties will take some of it. So one of the advantages is beyond sort of us reaching and driving more revenue in absolute terms is also that you don’t have to pay that additional margin. So all in all, these changes have happened over time and we don’t expect header bidding to really have an impact on our relationships. It hasn’t to-date meaningfully.
Rocco Strauss: Okay. Thanks. And then, maybe one quick follow-up, I mean, I have recently seen Criteo’s is often ranked in Pixalate’s Seller Trust Index. Just help us to understand why you are in there and if that actually means that you have guaranteed inventory from some of your 16,000 publishers now that you reserve further when you can’t - you see inventory on your own any more due to frequency capping or converted users already and actually does that expose to inventory risk at all?
Eric Eichmann: Rocco, I’m sorry, you mentioned - if you could repeat part of that question, you mentioned that we appear more and more in Pixalate Trust rating, I’m not sure…
Rocco Strauss: Yes, Pixalate’s Seller Trust Index, that’s actually showing all of the FFPs and how they actually ranking across fraud and accessibility of inventory. So I was just wondering why you’re actually ranked there as you are generally not holding any inventory yourself.
Eric Eichmann: So the fair answer is I don’t know, we will investigate what the Pixalate Trust rating is. At a high level though a couple of things from me, fraud perspective, one as you know we have a CPC model and so people, even though they pay us on click they also judge on sales. And so fraud details is much small and it’s almost non-existent so ultimately that’s a protection for us against for the advertisers. Again, fraud - and just in general the ads that we serve come from brands, or well respected brands. Publishers are very happy to have those brands do advertising on their properties. And so generally, what we have not just from the publishers but from consumers is good feedback by the type of ads that we represent.
Rocco Strauss: Okay. Thanks, Eric.
Operator: Thank you. And the next question comes from Ross Sandler with Deutsche Bank.
Ross Sandler: Thanks, guys. Thanks for squeezing me in. Congrats on the quarter. Just one follow-up on the previous question on header bidding, can you guys just talk holistically about the nature of the publisher relationships that you have? I know that historically you had a lot of first look relationships with various publishers. Did those come through direct agreements or did they come through exchanges. And then big picture as you now cross 50% in mobile is the revenue margin for mobile at all different than what you’re seeing in desktop, because we think years down the road about revenue margin as the business shifts more to mobile. And then the second question is I guess is for Benoit, the midpoint of the 2Q revenue guidance ex-TAC you mentioned 31% of a slightly easier comp. So that is conservatism or is there anything you’re seeing in the April that points to the deceleration from the 1Q levels in the high 30s. Thank you.
Eric Eichmann: Thank you. So let me answer the first question around the nature of the relationship with publishers that we have today and then have Benoit answer the other two. But on the nature of the publisher relationships it’s still direct relationships. And so when we have a publisher account that we provide through direct relationships we have with those publishers, those relationships give us preferential access to inventory that normally come in one or two ways. One is sort of a first look where we can bid on inventory before it goes to exchanges or alternatively also access to inventory that doesn’t go to exchanges, but they’re very happy to share with us because we don’t represent - we represent a good channel that otherwise they would not have access to. Generally, those publisher relationships don’t have any commitments whatsoever. So they might have in the way that the publisher thinks about it in some sort of floors in terms of how they’re willing to sell the inventory, but we’re buying this all on a very programmatic basis right. So we’re buying on the fly real-time when the impressions come forward. Look, the nature of the relationship with publishers overtime haven’t changed, it’s still a very strong channel for us as you saw from the numbers we continue to grow that channel and it’s a key differentiator for us against potential other solutions. Could we have more publisher relationships than anybody out there that has similar sort of competing products?
Benoit Fouilland: Yeah. So just, just to take your question with respect to mobile and mobile model that we generate out of the exo [ph] clicks that are generated on mobile banners. We see that, that’s a very positive trend to that now 50% of our revenue are derived from those type of advertisers - advertising. Typically, we have margin that are not differentiated between mobile and other type of ads that we [indiscernible]. We do not expect to see an impact on margin as a result of that transition that we’re going to continue. With respect to guidance for Q2, we tend always to forget that Q2 is a lowest seasonality quarter in the year. Typically, as you know Q4 is always the largest seasonality quarter for us followed by Q1, where we see lots of traction from sales in Q1 we got in particular, while Q2 is a lower seasonality quarter, so nothing there than the regular seasonality pattern to read there.
Ross Sandler: Great. Thank you.
Operator: Thank you. And the next question comes from Brian Pitz with Jefferies.
Brian Pitz: Great. Thanks. Eric, in the prepared remarks you noted the in-app mobile business is growing 450% year-over-year. Would you give us a sense of how much of this growth is driven by Facebook and Instagram versus other publishers? And also you mentioned DPA performance has significantly improved and how is this impacted growth rates around advertising into the Facebook app. Thanks.
Eric Eichmann: So, a couple of things on the in-app business. Obviously, we have an in-app solution in what’s been happening just generally in the marketplace if their consumers are getting more and more comfortable transacting with commerce and a lot of that is happening to apps. And so obviously that wave of growth is driving some of the growth. Obviously, one part of the in-app growth that we’re seeing come from Facebook and as we deploy more and more of Facebook with clients we’re seeing with that, that’s helping drive that number. But I would say that’s not the only driver. We’re also connecting to more and more direct app inventory, and so that’s also helping there. DPA performance, we talked about this over the quarters, and this has been a labor of love with the guys at Facebook of creating a product that sort of works well and brings the demand that our advertisers represent onto Facebook. And I think we’ve gotten to a point where the performance is actually quite good, and has improved the last few quarters. We expect to continue to work on different things with Facebook will continue to improve the performance, but a big part of it now with deploying of the clients that we have onto Facebook and that remains a big opportunity. And as you think about the future, obviously there are also opportunities we think like Instagram and other things that Facebook might put in place. So here we go.
Brian Pitz: Great. Thank you.
Operator: Thank you. And the next question comes from Charles Bedouelle from Exane BNP Paribas.
Charles Bedouelle: Thanks for taking the time and congrats for the better results. Actually most of my questions have been asked. I would have just one, can you help us think about how to think of the revenue conversion into profit, let’s say, adjusted EBITDA. And if you look at your EBIT versus mid-guidance point, the revenue and we add the €3 million of deferred of saved expenses will basically get to your EBITDA difference versus guidance. So is it a fair way to look going forward on any positive supplies in revenues coming trade to the EBITDA was that more of a coincidence and just to think about the operating conversion? Thanks.
Benoit Fouilland: Yes. So thank you Charles, for the question. So clearly, I mean, you need always to be careful, when you look at this on a quarterly basis, because you’ve got two type of drivers there, I mean clearly with the performance beyond on the guidance, as you could see. But on the other hand, we are the slightly slower stop from the spending standpoint on the items that I’ve pointed out earlier. And we do not expect necessary this pattern to happen in every quarter. So what’s important when you look at the overall operating leverage, is to look at it on the longer sales for the full-year. I’m just to - to remind you what are the key drivers as we expect on the full-year, and we expect to see most of the leverage coming from G&A on one hand through economies of scale that we see flushing through the P&L already. And we expect also equally that integrates to come from sales and operation, it was a mix of higher productivity in more much of geography as well as increasing productivity in the mid-market, partly offset by obviously investment in new emerging regions like Asia-Pac. So that’s what you should see playing throughout the year, and we’re seeing the impact also on this playing off in Q1, since after taking to consideration the delayed expenses, our operating expense and operating leverage in Q1 was well in line what we’ve told you for the year.
Charles Bedouelle: Okay. That’s very clear. Thanks. And maybe a just quick one, a classic one, but close to $400 million of cash. So can you just remind us how you see M&A? Maybe more importantly, because you talk about that in the past is, at what point you think that the cash position, becomes too big, or it’s there is no real position, we’ve been very focus on finding the right target? Thanks.
Benoit Fouilland: I think, I will give maybe just on the cash position and I will give you the look forward for - talk more broadly about M&A. But on the cash position, I mean, it gives us a lot of financial flexibility, obviously, to our cash position of close to $400 million, especially, if you combine this also with the committed financing that we signed last year. But we intend to continue to be as disciplined as we’ve been in the past in assessing opportunities. And we are very active at screening the market for the right opportunity, which could be more sizeable than what we’ve done in the past given the financial flexibility that we have.
Eric Eichmann: And we saw that, obviously on M&A, we’ve been quite active though that activity has not resulted in many, many acquisitions, but it’s not for lack of trying, I think we are actively sort of looking at the market and looking at all the opportunities, generally the threshold in the way we think about it is making sure that we find opportunities that will be new products for our clients or key technologies that reinforce our clients as we invest in new products. I think we will expand that view to see whether those new products from deployment perspective would be helped by acquisitions or any other things that could help sort of disrupt market. So I think that we feel quite good about continuing to do M&A activity, but obviously, we will only sort of take a stand or make purchases if and when we feel that the value there. So…
Charles Bedouelle: Okay. Very good. Thanks.
Operator: Thank you. And the next question comes from Matthew Thornton with SunTrust.
Matthew Thornton: Yeah. Good morning guys. Thanks for taking my question. I just want to come back to Facebook for a second. On the DPA side I guess, you had a point yet where you can now measure the conversions that are actually happening in the Facebook environment. And then second, early around Instagram you mentioned, I guess any timing as to when that could go live for you. And then I’ve got one follow-up. Thanks.
Eric Eichmann: Okay. Great. And thanks for that question. So on DPA, we can measure what happens within the Facebook environment then one of the things that we’re working with Facebook on is being able to see the sales that happen across devices. Obviously, Facebook has a very strong device graph and this is when we’re working with Facebook to be able to tell our advertisers sales that are generated beyond the Facebook environment. So that’s a continued work. On Instagram it’s really something that Facebook does and it’s really up to them to decide if and when they would do that. I think in generally there is an expectation that it will be part of DPA, but it’s really for them to confirm that.
Matthew Thornton: Okay. Terrific. And then just maybe moving over to the email channel just we’ve been talked about and I guess is that getting to a size or a point where you might be able to kind of break out how much of a contribute that is to revenue ex-TAC. We have 5% yet, I guess, any color there will be very helpful?
Eric Eichmann: Yeah. I think e-mail has different dynamics than display in the sense that you need to build the supply side. There are no exchanges for opting the emails and so that takes a little bit more time and as we have said before I think, we have to rebuild a lot of the technology behind email to make it a global product. I think we’re getting there and as a result we deployed with success email in France and it’s doing well for us. And we’re starting to deploy much more aggressively in the UK and the U.S. the next two markets for us. And so our expectations is that will evolve well, but it’s early to give specific numbers on that.
Matthew Thornton: Terrific. Thanks.
Operator: Thank you. And the next question comes from Andrew Bruckner with RBC Capital Markets.
Andrew Bruckner: Thank you for taking the question. I’m wondering if you could just comment on the market for talent both in France and in the other geographies where you operate, and how that’s different from a quarter ago or a year ago. Thank you.
Eric Eichmann: Okay. Great question Andrew. So we do very well in terms of hiring in particular in Europe. I think where we - and we still do well, but we feel a bit more pressure. And I think most companies would say this is when we’re talking about engineering talent in California in our Palo Alto office. I think there is a lot of demand for folks and probably the areas that see the most demand are data scientist. But we’ve done quite well and I think in France in particular, we have our largest R&D center. We’re a magnet for talent. We generally are able to scoop the best in France for sure and in Europe in general, because they get to work on the key problems or the key opportunities that at Criteo, whereas if you join a very large technology company that’s U.S. based you don’t get to work on those things. So that’s on the technology side, where probably there is more pressure. On the sales and operation side, I think we’re doing quite well and we’re able to hire across the world quite well. I would say in geographies where we have very high growth. We have a high demand for hirer, so Southeast Asia and mid-market, but we’re able to fulfill that. And so the numbers that we’ve given you are in line with the plan that we have in terms of hiring.
Andrew Bruckner: Thank you.
Operator: Thank you. And the next question comes from Tom Champion with Cowen & Co .
Tom Champion: Hi, thank you. Just a couple of follow-ups around geographic revenue trend. So in the Americas we saw a little bit of a de-sell from 4Q to 1Q. And I’m just curious if you can comment on how we should think about that growth through the balance of the year, whether that can rebound back up. I think you mentioned perhaps some new clients in retail in the U.S. or whether that maybe offset by maybe more mixed trends in Brazil. And then, just quickly on EMEA, it’s a pretty mature market for you guys and revenue grew sequentially. It looks like - just curious if there were any pockets of strength in EMEA that drove that growth.
Eric Eichmann: So thank you. So with respect to the Americas, as I say, the Q2 compared to Q1 you have to put that in - the Q1, sorry, compared to Q4, you have to put that in the context of a very strong Q4, where we are the at very strong holiday season. If you remember we had this 37% potential increase in quarter [ph] Q3. So it has to be put into this particular context. If you look at the fundamental of what has driven performance in the Americas, it’s clearly a good balance between new clients where we see some good traction with respect to large clients, and new large clients in tier 1 on very dynamic momentum in terms of MMS in market sales. It is clear that the situation in Brazil is much more challenging, even if we are - we’ve done relatively well in Brazil in Q1 but it’s much more challenging given the environment, the overall macro environment. So what we would expect for the rest of the year in the Americas is to see as a driver of growth the mid-market to continue to be a very strong driver of growth, as well as continued growth from both existing and new clients in the larger cost [ph]. So with respect to EMEA, we had a very strong quarter as you noted in Q1, which was in fact slightly ahead of our - internal expectation. What I would call as particular real strength, we had a very strong travel demand in terms of vertical. We had also a very good contribution of mid-markets in EMEA.
Tom Champion: Thank you.
Edouard Lassalle: I think we have time for one more question.
Operator: Yes, thank you. And that question comes from Murali Sankar with Boenning.
Murali Sankar: Yes, hi, thank you for taking my question. I wanted circle back to India and wanted to get the sense how you think about the relative size of the opportunity vis-à-vis China, maybe a difference in how you approach the market that’s unique to India and also how you think about navigating some of the e-commerce regulations, for example, about the recent pricing related regulations that actually cause some disruption in India for e-commerce. I would like to get your thoughts on that. Thank you.
Eric Eichmann: Great question. Thank you. So a couple of things, India and China obviously are different environment. China in terms of overall e-commerce sales is much more advanced than China - India, sorry. But what you’re seeing in India that is different is India is building infrastructure that’s very much like the infrastructure that you see and that we’re more familiar with in other countries. So Google is very active and access to inventory, we don’t have to recreate the new ecosystem to get access. We already have the relationships. And so from that perspective India is an easier market to operate from our ecosystem. Infrastructure, however, obviously, the opportunity there if you think about e-commerce is lower. Having said that, India’s e-commerce is growing very, very rapidly, and so we see a real interesting opportunity for us to be a key player in India and sort of drive that wave of growth. In terms of the pricing relation, frankly, I don’t know the exact impact. But we are very much correlated to the growth of e-commerce. So if it has a significant impact on the growth of e-commerce, positive or negative, that’s what the impact on the opportunity would be. However, we’re still early that any impact that it has is still probably not noticeable from our perspective, given that we’re starting from zero.
Murali Sankar: Thank you.
Operator: And that was the last question. I would like to return the call to management for any closing comments.
Eric Eichmann: Well, thank you very much, everyone. The Investor Relations team will remain fully available if you have any further questions going forward. Have a great day, everyone. Thank you.
Benoit Fouilland: Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.